Jacob Lund: Good morning, and a warm welcome to Investors Results Call for the Third Quarter 2025. I'm joined here in the studio by Jenny Ashman Haquinius, CFO; and Christian Cederholm, CEO. Both will soon be giving their presentations. And after that, as usual, we will be opening up for questions both via our operator on the call and online. With that, over to you, Christian.
Christian Cederholm: Thank you, Jacob, and hello, everyone. Q3 was a strong quarter with net asset value growth of 7% with contribution from all 3 business areas. In a turbulent environment, our portfolio companies maintain a good balance between focusing on efficiency to protect profits here now and at the same time, investing appropriately for the future, both organically and by way of acquisitions. The Patricia Industries subsidiaries showed solid performance with good organic growth and stable profits despite significant headwinds from a weaker U.S. dollar. We also saw continued high portfolio activity, including investments in all 3 business areas. At the end of the quarter, adjusted net asset value stood at SEK 1,028 billion. Let me briefly go through the 3 business areas. Starting with the listed companies, that represents about 70% of our portfolio. Listed companies generated a total return of 8%, well ahead of the SIXRX return index at 3%. We invested in Ericsson and Atlas Copco at valuation levels that we deem attractive. We also entered into a new contract to divest shares in SEB with aim to maintain our current ownership level as SEB continues to buy back shares. Companies continue their efforts to future-proof their businesses. For example, in the past 12 months, Atlas Copco has acquired more than 30 companies, including several in this third quarter. AstraZeneca announced a plan to invest USD 50 billion in the U.S. by 2030, further strengthening its position in this key market. Wärtsilä divested its Marine Electrical Systems business, further focusing its portfolio. After the end of the quarter, ABB announced an agreement to divest of ABB Robotics to SoftBank. We share the view of the ABB Board that this will be financially attractive for ABB while providing a good new home to ABB Robotics. On people then, the Husqvarna Board appointed internal candidate, Glen Instone, as new CEO, effective August this year. And the nomination committees are currently forming ahead of next year's AGMs. We will continue to push for higher compensation levels to secure competitiveness for the long term. Moving to Patricia Industries then. Total return for Patricia Industries was 4%, with the largest positive contribution from multiples this quarter. Our major subsidiaries grew sales organically by 4% with BraunAbility and Laborie growing significantly faster. Adjusted EBITDA declined by 2% and largely driven by a weakening U.S. dollar year-on-year. Chris Smith was appointed new CEO of Laborie. Chris has served on the Laborie Board and is a seasoned MedTech executive. Advanced Instruments completed the acquisition of Nova Biomedical, which is now the name of the new combined business. Organic growth in the quarter was a negative 4% on a pro forma basis, driven by a particularly strong comparison quarter last year for the acquired business and a cyber incident that disrupted operations this quarter. Integration work is off to a good start and entails, for instance, implementation of a common ERP system and alignment and investments in the organization, all with the goal to realize the combined company's full potential. The underlying qualities of the business are all in line with our investment case. For the major subsidiaries and our 40% in Three Scandinavia, including also the combined Nova Biomedical business from Q3 reported last 12-month sales was SEK 68 billion, and EBITDA was just north of SEK 17 billion. We should note here that this is all in Swedish krona, of course, rather sensitive to FX. Investments in EQT, our third business area represents about 10% of our total assets. Here in Q3, total return was 1% exit activity in EQT funds was high with net cash flow to investor of SEK 2 billion, excluding our investment in Fortnox. We invested an additional SEK 1.8 billion in the co-investment of Fortnox, taking the total investment close to the communicated SEK 4.5 billion. After the quarter, Jean Salata was nominated new share in EQT, taking over after Conni Jonsson from the next AGM. In this turbulent environment, I'm glad that we have a really strong platform. Investor has a clear purpose and a focused strategy. We have a portfolio of high-quality companies, a proven ownership and governance model, great people at investor and in our companies. And importantly, we have a financial flexibility with low leverage and strong underlying cash flow from all 3 businesses. The current somewhat turbulent environment will offer opportunities to further strengthen the position of our companies and investor itself, building strong and sustainable businesses and ultimately driving long-term shareholder returns. With that, thank you, and let me hand over to Jenny.
Jenny Haquinius: Perfrect. Thank you, Christian, and good morning. So let me take you through the financials for the quarter. So in Q3 2025, adjusted net asset value was SEK 1,028 billion, and this implies an increase of 7% compared to Q2. For the quarter, all business areas contributed positively. Listed companies increased with 8%, Patricia Industries, 4% and investments in EQT, 1%. So this implies a total return of 7% for the quarter and 8% year-to-date. Double-clicking on each of the business areas, starting with listed companies. So within listed companies, share price performance was mixed. Wärtsilä was a strong contributor also this quarter, followed by ABB and SEB. We saw positive share price development across several of the companies. However, Electrolux and Electrolux Professional had a tougher quarter looking at total return. Total return for listed companies portfolio was 8% compared to SIXRX benchmark index of 3%. As for absolute contribution, the strong performance was mainly in companies with size and weight in our portfolio so this implies a strong net asset value contribution from listed companies in Q3. Moving on to Patricia Industries. In Patricia Industries, we saw a 10% increase in estimated market values compared to Q2. So from SEK 202 billion to SEK 223 billion. Adjusting for the equity contribution from investor to Patricia Industries for the Nova Biomedical acquisition, the underlying increase is 4%. The increase was mainly explained by an expansion in valuation multiples as well as cash flow generation in the portfolio companies. However, the increase was somewhat negatively impacted by currency, so a stronger Swedish krona negatively impacting earnings in Mölnlycke and Permobil. Worth highlighting is that we have included the combined Nova Biomedical business in the estimated market value using our previously established method. As a reminder, the method is relative valuation versus listed peers. So for each company, we have identified a set of listed peers, roughly 15 to 20 peers per company. And then for each peer group, we find an EV to EBITDA multiple where the EVs or the enterprise value reflects the 3-month value-weighted average price as opposed to the spot price at the end of the quarter and EBITDA over the last 12 months. So backward looking and not forward-looking. And this relative valuation metric is then applied to the EBITDA of our companies. So for Nova Biomedical, we applied a relative multiple to the LTM pro forma EBITDA of the combined business. Looking at value development across companies, we can see that the main contributors in terms of value for Q3 were the North American companies, while the Nordic companies were more flat over the quarter. So some extent were done by a negative impact from FX. And now commenting on performance across the companies in Patricia Industries. First to highlight a few positives. We saw a strong quarter for BraunAbility, in part, explained by a relatively weak comparison quarter, but also due to strong demand. Laborie continued to see solid growth, driven to a large extent by the Optilume urethral strictures product. In the short term, comps are getting continuously tougher as Optilume urethral strictures is included in benchmark quarters. But the longer term, there is a lot of potential in both urethral strictures and the more recently launched BPH product. Nova Biomedical and Permobil had a tougher quarter for Nova Biomedical, we are coming from a particularly tough comparison period last year for the acquired business. We also had a cyber incident this quarter impacting sales, but this was partly offset by strong organic growth in the acquiring Advanced Instruments business. Permobil is experiencing muted growth, which is explained by weakness in the U.S., but also a negative impact from a voluntary product recall. Moving on to Mölnlycke. Mölnlycke had a solid quarter with 3% organic growth, primarily driven by Wound Care and Gloves, both growing 5% organically. This was somewhat offset by a contracting ORS. Profitability improved despite negative impact from FX and tariffs, and that is driven by positive product mix but also lower cost on the back of the accelerating work to find efficiency improvements. And then moving on to investments in EQT. Total value change was 1% in the quarter, and that's primarily driven by EQT AB, which was up 2%. Fund investments were down 1%. And as a reminder, we report EQT fund investments with 1 quarter lag. So the negative 1% is based on EQT's Q2 report. For Q3 earlier this morning, EQT reported 3% in positive development in key fund investment. But again, note that this is in euros and that the correlation to our EQT fund investment is not 1:1. On the right-hand side, we illustrate the net cash flow from EQT to investor, which was close to 0 in the quarter. And this is despite exit proceeds given our investment in Fortnox and acquisition of shares in EQT AB. And here we illustrate net cash flow from our investments in EQT over time. While it's quite lumpy on a quarterly basis, over the past 10 years, we have received a net cash inflow of SEK 1.6 billion on average per year. The LTM net cash flow is a negative SEK 2.7 billion, but that includes SEK 800 million in acquisition of shares in EQT AB and SEK 4.4 billion investment in Fortnox. If we adjust for this, the net cash flow on an LTM basis is a positive SEK 2.5 billion. Our balance sheet remains strong. Our leverage as of Q3 is 2.6%, so it remains in the lower end of our policy range despite significant investments. On to my last slide, over the 5-, 10- and 20-year period, the Investor AB B share has outperformed both SIXRX Index and our return requirement, which we highlight in orange. And this underscores the strength and the resilience of our portfolio and our strategy. The past 12 months have presented headwinds, looking at the Investor B share. However, adjusted net asset value is up compared to SIXRX, which has been essentially flat. And with that, I will leave the word back to Jacob.
Jacob Lund: Thank you very much, Jenny. Thank you also, Christian, for your words. We are ready to take your questions, and we will start with questions through our operator, Sharon, please.
Operator: [Operator Instructions] And your first question today comes from the line of Jacob Hesslevik from SEB.
Jacob Hesslevik: So maybe we could first start off with you mentioning that the portfolio companies are focusing on cost efficiency, while the Patricia Industries showed minus 4% reported sales growth. Can you elaborate on what you're seeing operationally? And how sustainable is the 4% organic growth when we adjust for the currency effects?
Jenny Haquinius: Well, I think it's a bit difficult to answer that question in terms of the entire portfolio because it varies across the companies. But if we start with the work in terms of operating efficiencies or finding cost efficiencies, the work is a focus for all of our business or subsidiaries. For this quarter, it's a lot about less hiring, also less traveling, reducing consultants. So a lot of focus on kind of external cost. But at the same time, there is a parallel work to find more structural efficiencies. But as we alluded to last quarter, the timing of the impact of such effects will vary. And I think in terms of the organic growth, how sustainable it is, I think it depends on each of the different businesses. Maybe I can start commenting on Mölnlycke, for example, which is the biggest subsidiary. So we saw Mölnlycke with 3% organic growth for this quarter. And if I focus on the biggest business areas, the Wound Care, which is more than 60% of the business and even more so in terms of EBITDA. We saw a good 5% organic growth. And if we look at the year-to-date number, it's 7% organic growth, which is in line with the same number during the same period last year. And this is in a market where we see a low to mid-single-digit underlying market growth. So we are very pleased with Mölnlycke continuing to take share. And that is on the back of attractive products, also a really good market -- go-to-market execution and in parallel focus on geographic expansion, where China is a good example. But we do recognize for all of our companies that we have fierce competition. So there will be a lot of hard work also going forward. I don't know if you want to add something, Christian?
Christian Cederholm: Comprehensive.
Jacob Hesslevik: And can you walk us through the integration plan for Nova Biomedical and how you're thinking about the leverage profile at advanced instruments post acquisition? And how should we expect organic growth to continue to be negative for the upcoming 2 quarters given your comment, Christian? Or is it only in Q4 that organic growth could be under pressure?
Christian Cederholm: Okay. Thank you. If I start with, let's say, the underlying performance of the business and then maybe we can come back to the leverage question. So as we said in Q3, we had a negative minus 4% and really 2 things that stood out. One was a tough comparison quarter, including some one-off orders that we didn't expect to get back basically this year. And the other thing that we bring up is the cyber incident that impacted operations, both sales and cost during the quarter. Integration is off to a good start. And the integration work includes, of course, bringing the organizations together and aligning them but also other things such as rolling out a common ERP system. And really what we say is that, that may impact both sales and earnings near term. But importantly, the first months since we got the keys here,have really confirmed the qualities of this business. And focus is now on moving fast forward with the integration to really realize the full potential of this combined business, creating a really strong platform for accelerated growth as we go forward. And then with regards to the leverage profile, I mean, we did use the combined business and leverage that to pay part of the proceeds here or the price for Nova Biomedical. And cash flow, as you know, is inherently volatile quarter-to-quarter, but we do expect to see deleveraging over time.
Jacob Hesslevik: And did you mention how much the one-off costs related to the cybersecurity incident was?
Christian Cederholm: I did not, and that's intentionally. So I mean it is hard to quantify the impact on both sales and operations. But what we said is that we are confident that it was significant enough to bring up.
Jacob Hesslevik: Okay. And it's all completed now and fine?
Christian Cederholm: It's -- the attack or the incident is remedied or rectified and operations are up and running since several weeks back.
Jacob Hesslevik: Glad to hear that. And then just a final question. Could you help us understand the property divestment from Vectura? Is that there are a lot of renovation debt in that property portfolio as a price seem to be quite low, given how large [ Arsenalsgatan and Teknisk högskolan ] unique property position in Stockholm?
Jenny Haquinius: Yes. Well, thank you for the question. I mean the combined property value of SEK 1.4 billion is roughly in line with what Vectura has in the books, and that's been revalued every quarter. So it's in line with the market values that we've had. And in terms of the value in the transaction, we've also used on both sides of the transaction, independent appraisal firms and also done a fairness opinion of the entire -- so we have confirmed that this is the market values.
Christian Cederholm: Maybe it's fair to say that the vast majority of the value lies in [ National Scott ] and Okta.
Jacob Hesslevik: Yes. I would just say that [ Agarden ] is a unique property, which is -- could be difficult to sort of price on. That's where we came to as well, given it seems that [ Agarden ] is almost worth close to 0 when you take multiples on [ National Scotlands ] what's called space or office space?
Jenny Haquinius: Yes. Yes. I think in addition to that, one also has to reflect that it's a land less and also a significant renovation. So it's not renovated in the same sense.
Jacob Hesslevik: So a there's a lot of renovation debt then, I guess, or upcoming renovation debt...
Jenny Haquinius: Yes. It's like always with the properties. When you haven't renovated for a while, you need to do renovation. So a lot is may be a bit too much, but it's, of course, more than [ Arsenalsgatan ] which is newly renovated.
Operator: And the question comes from the line of Oskar Lindstrom from Danske Bank.
Oskar Lindström: My first question is on Mölnlycke. Should we expect any further impact from tariffs or any secondary logistics disservices as a consequence of tariffs that have been introduced? Is that still ahead of us?
Jenny Haquinius: Well, I think it's very hard to say because, as you know, tariffs also keep changing, is moving material. So for this quarter, the impact so far that we see is less than 1 percentage point in terms of sales.
Oskar Lindström: Negative impact on organic sales growth?
Jenny Haquinius: Well, no, the actual cost is less than 1%.
Oskar Lindström: On margin.
Jenny Haquinius: Yes.
Oskar Lindström: And if we move on, you mentioned in your section on Mölnlycke, the weakness in the Wound Care market in France and Germany. I mean, first off, is this something that's sort of getting weaker? Or is it just sort of a weak spot? And what's the nature of this weakness? And do you have any sense of how long term that could be?
Jenny Haquinius: Well, it's a very good question. It's hard to know how long term it will be, but we do see pockets of weakness in Germany and France, and that's on the back of pressure on health care budgets essentially. There's no fundamental difference in the actual need for products that Mölnlycke provide. So it's more about the health care funding, at least for the short term.
Oskar Lindström: Right. Okay. And sorry, when did this weakness appear? I mean, is it something that has come now in I can't remember if you mentioned it in your Q2 report as well.
Jenny Haquinius: No. I think it's a bit different in terms of both Germany and France. In France, we've seen more focus on kind of reimbursement cuts historically, which we've explained. Now we don't see the reimbursement costs to the same extent. It's more of the pressure on the health care budget and for Germany, I mean it's different. But I think for now, what we see in terms of the macroeconomic pressure, that kind of weakness has grown larger during this quarter.
Oskar Lindström: All right. My final question is on M&A. You or investor rather have previously talked quite a lot about acquiring sort of business is in industrial automation, probably sort of a larger addition. Now you've further increased our exposure to -- in the pharma or [indiscernible]  segments. What are you thinking about this sort of future direction of you privately held assets?
Christian Cederholm: Thank you. Great question. And I think that -- if you look at the recent acquisition of Nova as an example, that's a great way for us to leverage the competence and the platform we have in advanced instruments, not the least in this case and we are happy to continue expanding where we stand. That said, we also remain open for new platform investments. And then as you point out, we have mentioned industrial technology or technology more broadly as one focus area. And we continue to be actively looking for that.
Oskar Lindström: And you mentioned, I think, here in your introductory presentation about sort of the current turbulent environment. I mean is that something would you connect to this?
Christian Cederholm: Sorry, could you repeat the question? I lost you there in the middle or we lost you.
Oskar Lindström: Yes. Sorry. In your presentation now, you mentioned that the current turbulence environment offered opportunities for investors with regards to acquisitions and growth as well, I presume. Could you expand on that a little bit? Are you seeing a lot of acquisition opportunities at the moment? .
Christian Cederholm: We do. And I mean, as we said before, the work of finding and courting and hopefully executing on these opportunities. That's a continuous work. And oftentimes, it takes a year before we identify a potential candidate and then until we close on an acquisition. So that work is ongoing, and I would say the pipeline looks healthy. Then in terms of closing rate, it will inherently be volatile over the quarters. Maybe just to add one thing to your last question also, which I think is important on where we expand it's also important when you think about our portfolio, we tend to think about it, first and foremost, as one portfolio. And that means that if you look at, for example, life science tools and reagents or MedTech, et cetera, it's still a relatively small share of our portfolio so I really see concentration risk in that sense.
Oskar Lindström: I'm happy with those answers.
Operator: And the next question today comes from the line of Johan Sjöberg from Kepler Cheuvreux.
Johan Sjöberg: Continuing on the last question on the closing rate, which you mentioned, Christian, and talk a little bit about that. I mean, given the character of companies you're looking for sort of high growth -- high operating strong growth environment and good profitability. This comes with the cost or a high valuation, I assume. Do you think right now that the valuation multiples on especially in the U.S. on these sort of companies and also including the industrial or the automation or it doesn't technology. Is that a big obstacle right now, would you say?
Christian Cederholm: Well, I think your observation is spot on. And I would say that the kind of companies that we're looking for puts us in a place where almost everything we look at comes at somewhat reached price. It obviously helps if you do add on acquisitions, you may not have to pay the same kind of, call it, platform premium. And also, you may have synergies that sort of help you finance and help to balance the calculation. But then again, I mean, this has been the case for many years. And I think the teams have proven that they can find and execute on really good opportunities. If you look at the investment pace over the years here, it's been quite solid. And I would say not just within Patricia, but across all 3 business areas.
Johan Sjöberg: And when you look at the pipeline here, sort of companies which are sort of coming up for sale or up for sale. I mean, first of all, you have these sort of family companies, which where you have no or no successor was to take over. But also you have the private equity market. And if I -- so the -- if they were quoted right, EQT was saying that the activity here or exit market is improving, et cetera, and in Sweden, we've definitely seen that. Is that sort of you share that and also looking at that portfolio is at sort of a good alternative for you now going forward here compared with what you've seen over the past sort of 3 years, maybe?
Christian Cederholm: Well, I think absolutely, in terms of that is one of private equities is one source of good companies and opportunities, and they come with the benefit of being over time for sale as well. So we have done a number of those kind of transactions, but also a number of that first category mentioned, where it's a more sort of founder-owned business and sometimes a more bilateral process as well.
Johan Sjöberg: Just looking also at Mölnlycke, I want to come back to that. And I heard your comments here, Jenny on this. But I'm just sort of returning to a question. When you had Sladko on the call of the last one, but the sort of the one before, I think it was 2 or 3 years ago, and he mentioned that the Mölnlycke continue to grow with a high single-digit organic growth here. And I'm sure that continues to be the ambition also. But of course, there is a market also. I just want to hear your thoughts upon is sort of not Mölnlycke looking at the underlying markets, you see that growth in the market supporting that for I understand that -- when you have 5%, that's a good growth for Wound Care, but being a spoiled analyst, well, we are used to higher operating organic rate in that. Maybe this is sort of clear outperforming. I just want to get your feeling on what is sort of the underlying market and sort of your -- how you view that growth rates, both especially for the wound care.
Jenny Haquinius: Yes. Well, first of all, I mean taking it back to kind of the year-to-date number, that's 7%. So that's in line with kind of the high single digit and similar to the same rate last year. the ambition remains, as you say, what we also said earlier is that the market is more low to mid-single digit in underlying growth. But I think as you also saw in Sladko presentation is that we see pockets of higher growth. We have a lot of attractive geographic expansion alternatives. We have China, which is a good example where we're also establishing a local presence also Middle East is another area. And then in terms of the U.S., we also have a shift of volumes from kind of the more low growth, acute setting to the higher-growth post-acute setting where Mölnlycke is also establishing a strong position. So I think even though the underlying kind of acute channel growth is lower, we do see good pockets of growth that would help build to kind of the high single-digit organic growth over time. But it will require a lot of hard work and also continued focus on making sure that we have an attractive offering to customers. So in terms of investing in future innovation.
Johan Sjöberg: Okay. Cool. Just also coming to the cyber attack also here and minus 4% for -- in Q3, tough comps also, of course, here. Just do you I remember when Mölnlycke had this new IT system, you said that what part of this we could sort of catch up with over the coming quarters in terms of loss sales during the quarter. Is that a possibility also in Norway now?
Christian Cederholm: I would say that you may catch up some of it, but it's never a 1:1 really.
Jenny Haquinius: And timing is also difficult.
Christian Cederholm: Timing. Yes.
Johan Sjöberg: Cool. Just one final question, if I may. The continue to perform quite well. Now CapEx through sales is also coming down slightly in the quarter. Is this large investment phase over now? And it's sort of what is sort of a normal CapEx to sales figure in '26, just to get a feeling, especially for this has been a reliable source of funds for you also in terms of dividends when we could sort of expect that to start up again.
Christian Cederholm: Maybe I'll start by disappointing you saying we don't provide guidance on the CapEx number or the dividends. But you're right in pointing out that we've been through a couple of years really with rather high investments. And that has included, for example, the swap out of Huawei equipment to Ericsson equipment that followed the decision from PTS here in Sweden as an example.
Operator: Thank you. There are currently no further phone questions. I will hand the call to Jacob for web questions.
Jacob Lund: Thank you very much, Sharon. Let's take questions from the web then. We can start with, in fact, 3 questions, I think, from Anil Sharma. I think one of them has been answered many times here. But the tax days, I have 3 questions on Nova Biomedical. The Q3 organic sales performance was disappointing, how much of this was due to the cyber attack and how much other factors such as the integration? Second one, the pro forma EBITDA margin is also lower than it should be. Can you explain the moving parts here? And the third, how do you expect 2026 revenues and EBITDA margins to evolve?
Christian Cederholm: I can start. And as you said, Jacob, I think in terms of the quarter, we've discussed that, and it's really hard to say exactly what is what in terms of the impact from the cyber incident. But I come back to our statement that it's significant enough for us to bring it up. And then when it comes to margins, I would say, to some extent, they are also related to the very high comparison quarter where we had a couple of really good biopharma orders and more generally, again, we are in this phase. We got the keys here a couple of months ago. There is lots of integration work ongoing, and I've said it before, but both in terms of bringing the organizations together in a good way, but also implementing a common infrastructure across the companies, et cetera. So there are lots of moving parts here. And therefore, we never provide guidance for '26. But we just all was worthwhile pointing out some of the factors that we think could impact performance in the near term.
Jacob Lund: Thank you. Then we have 3 separate questions from Michael Glen. First one, will Investor AB submit capital to the initiative of Wallenberg Investments and your subsidiaries with regards to AI infrastructure. I suppose he's referring to Sferical AI company.
Christian Cederholm: So investor is not an investor in the company's Sferical AI. That is a, call it, a joint effort and investment between Wallenberg Investment AB, which is a separate entity, just to be clear, and the number of portfolio companies who signed up to use this AI infrastructure really to, for example, train models for R&D and better efficiency in terms of managing networks for Exxon, et cetera, et cetera.
Jacob Lund: Second question, can you provide some insights and examples of the Board work on future proofing initiatives, particularly with regards to digitalization and AI.
Christian Cederholm: I can start. It's a great question. And just to sort of state the obvious here, we do see a lot of opportunities really across the whole portfolio in terms of all our companies and interestingly, the opportunities are distributed across the whole value chain. So from R&D to efficient manufacturing, efficient administration to go to market. And then ultimately, of course, also using AI to enhance the product offering for our service offering for our customers, so making life better for customers. This is really high on our agenda. We drive it, as you allude to, not the least through the Boards. I mean it's obvious that the recipe here and the focus areas are different from -- or between each companies. What we try to do in addition to driving this company by company is to also make sure that we try and share as much as possible in between the companies what has worked, what has not worked, et cetera, so as to create an open sharing culture and also some healthy peer pressure.
Jacob Lund: Good. Third one, would you, as a shareholder, rather hold on to the Robotics division of ABB? Or was the valuation offered too attractive to pass up?
Christian Cederholm: Well, we share ABB or the Board of ABB's view that this is financially attractive for ABB and provides a good new home for ABB robotics. So it's good for ABB. It's good for ABB robotics.
Jacob Lund: And the last question I can see here, it comes from Martin Lindgren, is the divestment of, 8C, I guess, [ Arsenalsgatan and Teknisk högskolan ], preparation of a divestment of Vectura in order to keep core Wallenberg property within the Wallenberg sphere?
Jenny Haquinius: Yes. Thank you for the question. On the contrary, the rationale for the transaction is that FUM provides a very good new home with the long-term perspective and long-term owners, given the importance of these properties to the Wallenberg ecosystem similar to the Grand Group transaction a couple of years ago. And as for Vectura, it is anchored in Vectura's strategy to continue to develop innovation clusters or knowledge intense clusters, and Vectura has a really promising and attractive pipeline of projects going forward.
Jacob Lund: Great. I can't see any further questions, so time to conclude and wrap up. Thank you, Jenny. Thank you, Christian. Next scheduled call, this our year-end report for 2025, which is scheduled for January 22 next year. Until then, thank you, and goodbye.